Operator: Good morning, and I would like to welcome everyone to the Jupiter Mines Q1 call. Today, we have Jupiter Managing Director and Chief Executive Officer, Brad Rogers; and Chief Financial Officer, Melissa North, to provide a brief update on the first quarter of the 2026 financial year, and then we will open up to questions from callers. Thanks, Brad. Please go ahead.
Brad Rogers: Thank you, and thanks very much for joining the call, everyone. As usual, I will just give some overarching remarks in respect of the key points from the quarterly activities report that was released to the market this morning, and then I'll allow time for any questions at the end of those opening remarks. So the quarterly activities report that was released this morning for the first quarter, the September quarter of our 2026 financial year summarizes a very solid start to the year in line with our expectations, and I'll run through some of the details in a moment. But in summary, the operational outcomes in every respect were in line with what we expected and in line with our full year targets. We had costs that were pleasingly in control, particularly given headwinds from a strengthening rand against the U.S. dollar, a build in cash at Tshipi, notwithstanding Tshipi distributed a ZAR 300 million dividend to Jupiter and to the other shareholders of Tshipi, which we passed on adding our own cash to that dividend to our shareholders during the quarter. So good outcomes operationally in line with our full year targets. And obviously, that's what we're trying to do as we build through the financial year. I'll get into the details also on the manganese market. But through this quarter, we saw a slight strengthening in manganese prices and pretty good downstream demand from a manganese alloy perspective. And that meant that relatively strong supply, including GEMCO reentering the market and good volumes out of South Africa were consumed by the market. And prices reflect that, there was a slight increase and prices today sitting just above 4-year average levels, which given Tshipi's cost levels is quite positive for us. So we're in a stable market right now. Prices have been range trading within a relatively narrow range for the last few months. And that's a good thing for Tshipi and that frames the cash generation that we've been able to see in this quarter. So I'll go into a little bit more detail on those opening comments and starting with Tshipi's operations. There were no lost time injuries during the September quarter. There were two minor medical treatment injuries. From a sales perspective, the sales for the quarter were 837,577 tonnes of manganese ore sold. That was down on last quarter, but everyone should bear in mind that what we're trying to do at Tshipi is hit 3.4 million tonnes of ore sales for the year. Usually, in the makeup of that 3.4 million tonnes, you'll see about 3 million tonnes of high grade and about 400,000 and sometimes a bit more of low grade. And that 837,577 tonnes for the September quarter was bang in line with that 3.4 million tonne target. So notwithstanding it was down on last quarter, as you do for all quarters, you're going to see Tshipi sales up and down quarter-on-quarter, you probably shouldn't focus on that too much. It's more the trend towards the 3.4 million tonnes that we have averaged for the last 7 years since Jupiter listed and that we're targeting again this year. And so that number that we recorded for the September quarter was right in line with that 3.4 million tonne full year target. Production was very close to that as well, 829,798 tonnes for the quarter. That was slightly up on last quarter and slightly up on our plan for the September quarter and certainly supportive of, again, achieving that 3.4 million tonnes of ore for the full year. Logistics of 868,442 tonnes were slightly up on plan and up on last quarter as well. The more interesting thing to note out of the land logistics was we had significantly more rail allocation than we expected and planned for. And what's going on there is smaller producers in South Africa are not taking up their rail allocation, notwithstanding the manganese price that's prevailing is quite positive for Tshipi given our cost curve positioning. It's not so positive for others. And that's the reason why some others are not taking up their rail allocation. But as it has in the past, and it certainly was in this quarter, that goes to the benefit of Tshipi, where we had much more rail allocation than we had anticipated. We did almost no South African road haulage for the quarter. And so naturally, given that rail is cheaper than South African road, we benefited from a cost perspective with respect to that particular situation. From a mining perspective, we saw an increase quarter-on-quarter in grade ore production, about 21%. And costs, as I mentioned earlier on this call, came in at USD 2.27 per dmtu. That was a particularly good outcome given the rand strengthened through the quarter, and that figure would have been $2.19 had the exchange rate in the September quarter been the same as the exchange rate observed in the June quarter. But at $2.27, notwithstanding that unhelpful exchange rate movement in the quarter came in anyway in line with where we would be targeting for costs at the moment and where we've been guiding on previous calls. So that was a very good outcome, again, benefiting from the mix of rail, but also benefiting from good cost control across our cost composition, including at the mine site itself. From Tshipi's financials perspective, EBITDA of $26.6 million for the quarter was down on last quarter, and the major driver of that was sales volumes being down. And again, the last quarter that we're comparing to was the fourth quarter of last financial year that had particularly elevated volumes of more than 1 million tonnes, and we're not trying to achieve 1 million tonnes a quarter or 4 million tonnes for the full year at the moment. If we step up to that, and that is part of our strategy, then that will be a decision to do that on a consistent basis. So where you see that sort of variability quarter-on-quarter from a sales perspective and naturally earnings is going to follow that variability, you will expect to see that average out for the full year at about 3.4 million tonnes unless and until we make the decision to expand sales to 4 million tonnes, but we don't intend to do that until we're in a more robust market environment. That EBITDA of $26.6 million, while it was down because of sales for the most part of the last quarter was actually higher than the prior comparative period, the first quarter of last year by about 27%. And that was a quarter where volumes were higher than they were in this quarter. So that earnings can be contextualized in not just the comparison to the prior comparative period, but also -- rather the last quarter, but also the first quarter of last financial year. Tshipi's cash at quarter end increased by 9% to AUD 140.3 million. And that was a good outcome, particularly because Tshipi also distributed a ZAR 300 million final dividend to shareholders in that period. So if you look at the quarter just ended 30 September cash compared to 30 September last year, the cash we have on hand now, 30 September at Tshipi is 45% higher than at 30 September last year. So again, good outcome and good outcome, particularly given the dividend that was distributed by Tshipi during that quarter. Turning to the manganese market. Manganese prices increased during the quarter. The FOB price for ore grade manganese was $3.36 per dmtu at 30 September, compared to $3.20 at 30 June. So good step up there. Today, end of October, it's $3.39, so slightly higher again than the price at the end of the quarter. That price today is around 2% higher than the full year average. And that reflects, as I said earlier, relatively strong downstream alloy demand. And that relatively strong downstream alloy demand has been sufficient to consume the volumes that have been supplied into that market, principally into China, such that stocks really didn't move. The stock number, this is manganese ore stockpiled at port in China in total, was 4.4 million tonnes at 30 September. At the end of this quarter, we're talking about compared to 4.3 million tonnes at 30 June. And that number has come down slightly as you'll see in the quarterly report, but really to the end of October. But that really reflects steady stockpiles at levels that are considerably lower than the full year average, about 25% lower than the full year average level of 5.8 million to 5.9 million tonnes that you would expect to see looking back at the last few years of stock levels in China. So given stockpiles haven't moved and prices have slightly increased, that's good. And it's remarkable in that the market has consumed GEMCO coming back into the market that's now producing at full volumes as in the market that we've just seen. And also some South African volumes have been relatively robust in a couple of the months in the quarter that we've just seen. So good downstream demand, prices slightly improving to levels that given Tshipi's FOB cost of production, as we talked about, $2.27 are quite healthy for Tshipi. But that's because Tshipi, as we know, is an efficient cost producer. Other mines on the manganese supply side are not making so much money at these prices. And that's also in part why the prices have held up. There's good cost -- supply cost support for prices at these levels. So we're really sitting in a market that has gently increased over the last quarter and gently increased again over the last month, but has actually been relatively stable since about May where you've seen steady solid downstream demand, supply month-to-month moving around and sometimes increasing, but the market being able to consume that supply, including the return of GEMCO to the market. So in summary, just wrapping all of that together, the Q1 outcomes from an operational perspective were in line with our expectations. Sales were down quarter-on-quarter, but was in line with our expectation of 3.4 million tonnes for the full year. Production was 2 million tonnes. Costs were actually quite pleasing given the rand U.S. dollar exchange rate was unfavorable to U.S. dollar reported costs during the quarter. So that $2.27 was in line with our expectation, but had to consume that exchange rate headwind. All of that resulted in a good cash build at Tshipi through the quarter, notwithstanding there was a dividend payment during the quarter as well. And as we look at the manganese market, we're in quite a supportive manganese market at the moment. Prices increased, stocks are steady. Downstream demand has been relatively robust, sufficient to consume without increasing ore at stockpile in China, some reasonably healthy at times supply coming from the market, including the return of GEMCO. So hopefully, that paints you a picture of how we've gone for the September quarter. I'll just pause there and see if there are any questions on the line.
Operator: [Operator Instructions] Your first question comes from Adam Baker from Macquarie.
Adam Baker: Brad, just wondering one on sales volumes, please. Now that we're approaching the traditional November to February wet season, what are you thinking about sales volumes for the upcoming 2Q and 3Q? Do you think it will remain steady at around 800 kt or could there be some variation to this?
Brad Rogers: There could be some variation, Adam. I think if you look at the history going all the way back to the time of Jupiter's listing, we have delivered our target of 3.4 million tonnes a year on average. Some years, we've been a little bit higher than that. We were last year as well. But what we're looking to do is to deal with natural operational variability during the course of the year and still hit that 3.4 million tonnes. So wet weather is something that we have to factor into our plans. And if you look at the second quarter of the last few years, the quarter we're going into now, which does often have some wet weather, some quarters see slightly lower volumes because of that factor, and we have to pick it up at the back end. You will typically see a very strong fourth quarter, for example, and that is part of the plan. I think if you're looking at the way that we deal with wet weather, we have stocks on the ground. We have some stocks at port as well. You do sometimes see wet weather impacts on land logistics, but the main weather impacts you'll see are at the mine itself. And part of the planning so that we don't have too pronounced an impact from any wet weather impact at any time of the year is to have safety stock. So it could be the case. We do plan for wet weather in our plan. But obviously, if we don't see as much wet weather or if we are able to mitigate better than expected, then you won't see much variability. And as I sort of cast my eye over the last few years, we've had some second quarters that have been quite strong, stronger than the one we've just delivered. The quarter we just delivered was about 3% above average for the first quarter and slightly above our plan to give you an idea. So we think we're going to the full year plan, including factoring in risks like weather better than we would expect at this point. But we're also pretty experienced at dealing with the usual wet weather impacts that you'd see in the second quarter in South Africa. So not sure, but we have mitigations in place and the overall plan is to pick it up at the back end of the year if we do see any wet weather impacts in the second quarter. And overall, we are absolutely targeting and online for the 3.4 million tonnes of total ore for the full year.
Adam Baker: Okay. That's clear. And just noticed during the quarter that you mined a fair bit more low-grade tonnes. Was this a function of the mine plan? Or were there some other factors at play here for the increase in low-grade tonnes like changing cut-off grade, et cetera?
Brad Rogers: No, it wasn't that, Adam. It was more opportunistic. So the mine plan hasn't changed. The figure that you're referring to is actually the processed tonnes. So that's the amount of low-grade ore that we crushed through the circuit and have sitting on the finished ore stockpile ready to sell. So that figure, which from memory was -- just have a look was 175,304 tonnes that we produced through the circuit. We sold less than that into the market. So you wouldn't necessarily expect to see that same level of production of low-grade ore every quarter for the remainder of this year. But we had capacity in the processing circuit to do it in this quarter. We do want to have an amount of that finished and ready to sell, not having to crush in future quarters if we think it's opportunistic to do it. And there were some other operational factors in the quarter that factored into that as well. We thought that processing it through the mill rather than hauling it to a ROM stockpile hauling it back to the processing circuit given the capacity that we had in the fleet and the crushing circuit for the quarter, it made sense to crush that. We didn't sell too much more into the market than we expected to for this quarter. But in terms of low-grade ore sales, we did sell a bit more than we might have expected than you might have expected us to given the prevailing manganese prices during the quarter. But part of the reason we decided to do that was that we're able to get low-grade ore on to rail, which is unusual. Normally, low-grade ore has to be road hauled, and that makes it a bit more expensive. And so it was a bit more opportunistic to sell some low-grade ore in this market given the rail availability than it might have otherwise been.
Operator: [Operator Instructions] Your next question comes from Jon Scholtz from Argonaut.
Jon Scholtz: Just a question on the attributable cash at Tshipi. Is there any other way to access this outside of the Tshipi distribution and dividends?
Brad Rogers: So no is the short answer, Jon. The shareholders' agreement at Tshipi, as we have talked about before, I think, on these calls, is fairly tight. It confers joint control amongst the shareholders. Currently, Ntsimbintle Mining and Jupiter and going forward at the completion of the Exxaro transaction with Ntsimbintle, it will be Exxaro and Jupiter. And that's good for Jupiter, that shareholders' agreement. It means that our rights are well protected and that our agreement must be sought in relation to all important matters, including to cash and the distribution of it. The flip side of that is to the extent that there's to be a greater distribution of that cash that's held there, and there is a fair amount of cash held there, as you can see, AUD 140 million for a mine that has done a very good job of producing positive cash through the cycle. So you could make a case for a greater distribution at some point in time while still being responsible for the requirements of the mine. And I think that's what you might be alluding to, and it's not a unique thought. I get that question from time to time. Anything like that, whether it's a normal upsized dividend or a special dividend would require agreement between the parties. And going forward, that will be agreement between Jupiter and Exxaro. I would say that Exxaro is, as a public company, very focused on returns from all of its investments. And if you have a look at the public announcement of Exxaro's binding agreement to invest in Tshipi and other mines, the first page of that presentation highlights is Tshipi's track record of dividend payments. So I'm expecting out of all of that, Exxaro to be focused as we are on responsibly maximizing returns, including release of cash from the mine over time, but that would require agreement between the parties.
Jon Scholtz: And if I can just ask on what's the differential today between a rail ton of ore to port and a truck ton of ore to port? Has that widened or has it come down?
Brad Rogers: Yes. So on average, over time, you would expect road haulage in South Africa, which is typically road hauled to Port Elizabeth just as rail mostly goes to Port Elizabeth, so like-for-like distance. On average, you're talking about 35% to 50% higher to road haul a tonne than to rail haul under the MECCA arrangements. And for us, Lüderitz and East London, which is another South African rail port that's outside of the PE MECCA allocation sits about midway between South African rail and South African road. The South African road haul rate does move around based on demand because the nature of that demand and not just from manganese or haulers, but from other bulk commodities as well, waxes and wanes based on prices. So right now, road haulage is a bit cheaper than that, but it's still considerably more expensive than South African rail. So it's possibly about 25% higher than South African rail right now, but the more normal average is somewhere between, say, 35% and 50% higher.
Jon Scholtz: That makes sense. And maybe just one more. Could you give an update on anything to do with the high purity manganese?
Brad Rogers: Yes. Thanks, Jon. So we continue to do our work in the background in that regard, but we're taking a very purposeful approach to that work. Our view is that any real effort and investment in this part of our strategy needs to be market-led, but that we want to be ready and well positioned as we think we should be for the option to monetize when we see that market moving. So what we're doing with that framing in mind is ongoing discussions under NDA with a set of carmakers and battery makers and PCAM makers from around the world that we've been talking to for several years who are interested in potential future supply of HPMSM from Jupiter. And the purpose of those discussions, obviously, is relationship building, but it's also information exchange, them getting technical information from us, us getting demand profile information from them. And from a Jupiter perspective, what we want to see that build into is a 5-year offtake at some point in time that will underwrite the volume of output from any future HPMSM facility and see Jupiter off risk to that volume because that's the key thing really. This is a market that we believe in, that we believe is going to continue to grow. But we believe manganese has a really important value-adding role to play in, and we think Jupiter is well positioned to be a player in that regard and to get value from that. But that volume is not there today. And we can't predict when that volume will be. And so we want to be off risk in that regard. So that's the major reason why we're approaching that part of the study in that way. But from a practical perspective, what that means is we're having ongoing discussions, monthly meetings, exchanging information, building confidence, building relationships, and that's an ongoing piece of work. On the other side, we are also progressing technical work. And so we have a small pilot plant in Johannesburg that is based on our own flow sheet that has already been tested and creates acceptable HPMSM. But the purpose of continuing work in that regard, again, on a very targeted low-cost efficient basis is to continue to refine the costs and the quality of that process and to continue to be able to share meaningful information and samples with potential customers as well. So that's how we're approaching that. This part of our strategy is really about in a future point in time, monetizing the option that we're well positioned for because we're producing low-grade ore from Tshipi in excess to which we can ever sell into the steel market. But that low-grade ore, given we're producing it anyway, gives us a big OpEx advantage over other participants in the HPMSM market in the future, about a 20% OpEx advantage, and that creates a pool of value that we can take value from ourselves but share some value under those arrangements with future customers as well. So in short, continuing the work, Jon, what we want to see in order to accelerate effort in that part of our strategy is those customers that we're talking to coming forth and saying they're in a position to be able to put in place long-term offtake agreements. And that has been building in the 2 or so years that we've been talking to them. The advantage of manganese is that it's cheaper, more available and more chemically stable than other minerals in the cathode. And so we have always believed in that, and we're seeing that confidence growing, clearly on the customer side. But from a practical and a risk perspective for that business case to be advanced, which will be very valuable once we're able to square away this risk, we want to see the volume committed by customers over a term that will underwrite the payback and financials of the Jupiter business case.
Operator: [Operator Instructions] Your next question comes from Andrew [indiscernible], private investor.
Unknown Attendee: My question is, given the sort of long-term plan you guys, are you thinking becoming more of a dividend sort of paying out company? Or are you looking at maybe getting taken over? Is that right?
Brad Rogers: Yes. Thanks, Andrew. Thank you for your question. So our strategy is to continue to pay dividends, and we've got a very good track record in that regard as you have a look at what we've done to date, we paid $0.22 a share in dividends in the 7 years that Jupiter has been listed, and that's pretty close to our market cap today, notwithstanding the mine that has supported those dividends as we've seen again today, is very steady, produces cash through the cycle, even at relatively low manganese prices and has more than 100 years of mine life remaining. So that's an underpinning of a really highly valuable value proposition that we've demonstrated to date. And we see no reason for that to change. So regardless of whatever else happens, unless we are taken over and we're able to monetize that value for our shareholders, then that's something we intend to continue. We also believe very firmly in the value of consolidation within the Kalahari Manganese Field, and that's a core tenet of our strategy as well. And there are various ways to release that value, but it does start since we have the investment in Tshipi with the consolidation one way or another of the ownership at the Tshipi mine. You would have heard perhaps when the Exxaro announcement was made that they were binding themselves to acquiring our joint venture partner at the mine and also to become Jupiter's 19.99% shareholder by taking Ntsimbintle Holdings out of their Jupiter shareholding at completion of that transaction. Jupiter and Exxaro both comment in the shared value and belief of consolidation in the Kalahari. And so we see that Exxaro transaction as consistent with our strategy. And we intend to work with Exxaro and Exxaro has made similar comments to prosecute the ways to release more value for both of our shareholders. And I'm focused obviously on Jupiter shareholders. So that's not something that I can obviously get into detail about until there is something sufficiently well advanced other than to say our strategy is on foot. We see the Exxaro transaction is consistent with that strategy, and we intend to work with Exxaro in order to prosecute further value through consolidation. In the meantime, we continue to pay dividends. We have, again, in this quarter just passed -- produced positive cash at the mine, notwithstanding we also paid a dividend in that quarter. So that's something which is baked into our strategy and we tend to stay focused on, but we absolutely see the opportunity for value for Jupiter shareholders through consolidation, and we see that Exxaro is focused on the same thing and the intention is to work for them -- work with them rather in order to deliver that value for both shareholders.
Operator: There are no further questions at this time. I'll now hand back to Brad for closing remarks.
Brad Rogers: Okay. Thank you. Thank you for your questions, and thanks for joining the call. I hope those comments have been helpful in framing a quarter that, again, delivers on Tshipi's really strong track record for stable in line with expectation, operational outcomes and good cash generation. And we're sitting in a manganese market that we're quite happy with. Prices have increased. GEMCO is back in the market and the market has consumed those tonnes. And for the quarter that we've just seen and the market that we're sitting in today, we see pretty robust downstream demand, which has supported stable low stocks of ore in China and prices that have increased through the quarter. So hopefully, that's all clear. Again, thank you for your time, and I look forward to talking to you all next time.